Operator: Good day and welcome to the Hospitality Property Trust Second Quarter Financial Results Conference Call and Webcast. [Operator Instructions] I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you. Good morning everyone. On today's call, John Murray, President; and Mark Kleifges, Chief Financial Officer will make a short presentation which will then be followed by a question-and-answer session. Please note that the recording, retransmission and transcription of today's conference call is prohibited without the prior written consent of HPT. I'd like to point out that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on HPT's present beliefs and expectations as of today August 09, 2016. The Company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other than through filings with the Securities and Exchange Commission or SEC. In addition, this call may contain non-GAAP financial measures including the normalized funds from operations or normalized FFO. A reconciliation of normalized FFO and adjusted EBITDA to net income, as well as components to calculate AFFO are available in our supplemental package found in the Investor Relations section of the Company's website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained in our Form 10-Q to be filed later today with the SEC and in our supplemental operating and financial data found, once again, on our website at www.hptreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. With that, I'll turn the call over to John.
John Murray: Thank you, Katie. Good morning and welcome to our second quarter 2016 earnings call. It was another strong operating quarter for HPT which reflects the continued execution of our strategy on a diverse portfolio of well-maintained Travel Centers and hotels predominantly Select Service and Extended Stay hotels in near-urban locations operated under long term lease and management agreements. Our geographically diverse, recently renovated, primarily upscale hotel portfolio and our continued asset management focus on revenue and flow-through improvement were the principal factors behind our hotel portfolio's performance during the quarter. Among this quarter's highlights, normalized FFO per share increased year-over-year by 10.1% to $1.09. Comparable hotel RevPAR growth of 4.9% exceeded the hotel industry's performance for the 14th consecutive quarter. Cash available for our minimum rents and returns for the comparable hotel portfolio increased by $11.4 million or 7.6%, this enables the replenishment of credit report associated with certain agreements totaling $19.7 million. Our normalized FFO payout ratio declined to approximately 47%. Free cash flow was used to help run renovations and acquisitions. And we acquired three full service Travel Centers for the total consideration of $46.2 million. Our second quarter normalized FFO of $1.09 per share represents a 10% increase compared to the $0.99 reported in the second quarter of 2015 due primarily to the impact of HPT's hotel and Travel Center acquisitions and improved hotel operating results. Second quarter results for HPT's Travel Centers reflected declining fuel volumes sold and per gallon fuel margins that were down 1.2% versus the comparable 2015 period. An increase in non-fuel gross margin of $7.3 million more than offset the few margin declines and partially offset increases to operating expenses and rent. Property level rent coverage for the last 12 months through June 30, 2016 was 1.6 times. Turning to our hotels, the second quarter continued our positive RevPAR and margin growth momentum with RevPAR growth of 4.9% across HPT's 292 comparable hotels well above industry growth levels again this quarter. This RevPAR growth which was approximately 75% rate driven continued to be broad-based. For example our 223 hotels that were renovated from 2010 through 2013 increased RevPAR by 4.6%. The rate growth resulted in continued margin expansion with comparable GOP margin percentage up 110 basis points from the 2015 quarter. This represented a 74% flow-through of this quarter's revenue increase. As a result coverage of our minimum rents and returns also continue to improve. Highest RevPAR growth led the HPT portfolios in the second quarter increasing by 7% driven by strong occupancy and rate growth which benefited from renovation comparables for five hotels in last year's second quarter. Higher enhanced revenue management system with predictive demand capabilities and a continued focus on their high four initiative contributed to the positive top line results. However GOP margin percentage remained essentially flat due to increased travel agent commissions from OTA use and the one-time benefit cost through us. Our Wyndham portfolio increased RevPAR 5.5% led by the Wyndham full-service hotels and group business this quarter. RevPAR growth was driven by occupancy while average rate was flat negatively impacted by market conditions in Chicago and Houston. GOP margin percentage for the portfolio improved to 180 basis points attributable to savings associated with rooms and food and beverage labor costs and other expense controls. Wyndham continues to implement rooms laborsaving initiative at our extended stay hotels assisted by an analysis conducted with HPT's asset management team resulting in lower housekeeping cost per occupied room. Our Marriott 234 portfolio increased RevPAR by 5% evenly split between rate and occupancy gains and led by strong result at our Courtyard and Springhill suites brands. Revenue performance was aided by our Emeryville California Courtyard which posted strong performance against the renovation period comparison. Extended-stay results benefited from mix shift to short length of stay from the 30 day plus year where rates are lower. Our Sonesta portfolio's comparable second quarter RevPAR increased 7.9%, the comparable hotel GOP margin percentage improved 270 basis points versus the second quarter 2015 to 37%. Our comparable Sonesta ES hotels once again drove the portfolio's performance following recent renovations and a mix shift to shorter length of stay. Across the Sonesta portfolio rate increases were recognized across all major segments including Transient Group and Contract. The Royal Sonesta New Orleans experienced double-digit RevPAR growth driven largely by occupancy gains post renovation. The hotels positive performance came despite a [Rainy Porly] [ph] attended Jazz Fest a fewer city wide events and energy sector weakness which weighed on the hotels rate growth. Energy sector weakness also continues to weigh on results at the Royal Sonesta Houston and the Houston ES suites. Our Carlton portfolio's RevPAR decreased by 0.6% during the quarter due to the loss of project and training business that was completed and the timing of certain customer mix change initiatives. The Carlton’s credit although revenue declined modestly GOP improved slightly through expense management. Across the property types RevPAR and gross profit margin percentage was strongest among our Select Service portfolio. Our 95 comparable Select Service hotels were up 5.2% a 90 basis. 157 comparable extended stay hotels were up 5% and 50 basis points. In both cases rate was the principal driver of the growth. RevPAR at our 40 comparable full-service hotels was up 4.5% and margins improved 160 basis points. Turning to transaction activity in June HPT acquired from TA three Petro branded Travel Centers located in Illinois and Indiana for an aggregate purchase price of $46.2 million. In July we entered into an agreement to acquire a full service upscale hotel located in Silicon Valley for purchase price of 52 million. This hotel offers 236 guestrooms the popular restaurant providing locally sourced menu and over 4000 square feet of meeting space. It’s conveniently located near San Jose and Santa Clara with convenient freeway access. HPT is currently conducting its due diligence on this property including with respect to our ability to expand the hotels meeting space. We currently expect to add this hotel for our management agreement with Sonesta. We're being very selective as we consider additional hotel acquisition opportunities. In light of weakened global economic conditions and modest domestic growth we believe hotel pricing may moderate. Looking ahead we and our hotel managers remain optimistic about 2016 although our operators have modestly reduced expectations to account for certain trends like slightly weaker retail transient room nights, fewer citywide meetings reducing compression nights and continued energy related weakness. Industry experts continue to forecast RevPAR growth in the 4% to 4.5% range for 2016 above historic long-term average growth rates. Our operators are forecasting full-year 2016 RevPAR growth generally in the 4 to 5% range and GOP margin percentage improvement of 100 to 150 basis points versus 2015. This implies steady high occupancy and continued above industry average RevPAR growth driven primarily by rate growth for the balance of 2016. We’re continuing to benefit from renovations that have impacted most of our hotel portfolio. Our hotel portfolio is high 80.7% average occupancy during the quarter positioned our managers well to continue to improve average daily rate and deliver continue GOP improvement and increased EBITDA. We continue to monitor supply growth which is near historic run rates while much of the new supplier remains concentrated in a limited number of urban markets it is becoming a broader issue impacting occupancy and rate growth and an increasing number of volumes. However we do not expect supply growth to be a material headwind to HPT's hotel portfolio performance in 2016. I will now turn the call over to Mark.
Mark Kleifges: Thanks, John. Starting with the performance of our TravelCenters investments. Property level operating results for the 2016 second quarter improved slightly versus the prior year quarter. For the quarter per gallon fuel margin was down 1.2% and gallons sold declined 3.6% resulting in a 5% fuel margin decline versus the prior year quarter. Our TravelCenters did continue to grow nonfuel revenue and nonfuel gross margin which increased 0.9% and 3.4% respectively versus the prior-year. Approximately 74% of the total gross margin of our TravelCenters during the quarter was from the less volatile nonfuel segment of the business. Site level operating expenses increased only 0.9% versus the prior-year. As a result of these changes, first quarter property level EBITDAR of our Travel Centers increased by $1.6 million or 1.5% compared to the second quarter of 2015. Annual minimum rent under our Travel Center leases remains well covered at 1.64 times for the second quarter and 1.59 times for the 12 months ended June 30. Operating results at our comparable hotels were strong again this quarter with RevPAR up 4.9% a 110 basis point increase in GOP margin percentage and growth in cash flow available to pay HPT's minimum returns and rents of 7.6%. The 4.9% increase in RevPAR this quarter resulted from ADR growth of 3% and 150 basis point increase in occupancy. The portfolios with the highest RevPAR growth this quarter were Hyatt, Wyndham and Marriott No. 234 portfolios with increases of 7%, 5.5% and 5% respectively versus the prior year quarter. RevPAR was up 7.9% this quarter at our 22 comparable Sonesta hotels. GOP margin percentage for our comparable hotels increased 110 basis points from the 2015 quarter to 45.1%. Of our portfolio Wyndham and Marriott No. 1 had the strongest margin growth in the quarter with gross operating profit margin percentage up 180 and 110 basis points respectively versus the 2015 quarter. GOP margin percentage at our comparable Sonesta hotels increased 270 basis points this quarter. The combination of strong RevPAR growth and GOP margin expansion at our comparable hotels resulted in an $11.4 million or 7.6% increase from the 2015 quarter and cash flow available to pay our minimum returns and rents. The portfolios with the largest increases in cash flow were our Wyndham, Marriott No. 1 and Hyatt portfolios with increases of 7.9%, 7.3% and 6.3% respectively. Cash flow available to pay our minimum returns and rents increased 24.7% at our comparable Sonesta hotels. Cash flow coverage of our minimum rents and returns improved for seven of our nine hotel agreements versus the prior year quarter and portfolio wide coverage increased 1.34 times for the current quarter and 1.09 times for the trailing 12 months. Coverage for our comparable Sonesta hotels was 1.24 times for the quarter. The above one time coverage for several of our hotel portfolios resulted in net guarantee and security deposit replenishments of $19.7 million during the second quarter. Our Marriott No. 1 and IHT agreements also generated a total of $9 million of payments to HPT in excess of our minimum returns this quarter. Turning to HPT’s consolidated operating results for the quarter this morning we reported normalized FFO of $165.7 million compared to normalized FFO of $148.1 million in the 2015 second quarter. On a per share basis second quarter 2016 normalized FFO was $1.09 a 10% increase from the 2015 second quarter. This increase was due primarily to the impact of HPT’s Travel Center and hotel acquisitions and the continued improvement in operating results at certain of our hotels. Adjusted EBITDA was $216 million in the 2016 second quarter, a 13% increase from the 2015 quarter. As reminder when calculating both normalized FFO and to adjusted EBITDA during the first three quarters of the year we add back any estimated incentive business management fee expense recorded in our GAAP financial statements. We include incentive fee expense in our fourth quarter FFO and EBITDA calculations when the actual expense amount for the year if any is none. In July we announced a regular quarterly dividend of $0.51 per common share or $2.04 per share per year. Our normalized FFO payout ratio was approximately 47% in the 2016 second quarter. Turning to our capital commitments we funded $20.4 million of hotel improvements and $34.5 million of Travel Center improvements in the second quarter. We currently expect to fund an additional $69 million of hotel improvements and $58 million of Travel Center improvements in 2016. We also expect to acquire two newly developed Travel Centers in the third and fourth quarters of 2016 at a total cost of approximately $46 million. With respect to our balance sheet and liquidity, at June 30, had approximately $20.3 million of cash which excludes $61.4 million of cash escrowed for improvements to our hotels and at $768 million of availability under our unsecured revolving credit facility. As of quarter end, our debt-to-total gross book value of real estate was 40.8% and our adjusted EBITDA to total fixed charges coverage ratio remained strong at 4.6 times. Operator, we are now ready to open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Ryan Meliker of Canaccord Genuity. Please go ahead.
Ryan Meliker: Hi, good morning guys. It looks like you guys had a pretty nice quarter, congratulations. I had a couple of quick ones. One is the recurrent question that seems to come up every quarter which is your leverage is a little bit elevated relative to what you've disclosed your target at, stock has now performed really well this year up 23% or so a year-to-date. At what point do you look do you look to try to pair-down that leverage?
Mark Kleifges: Ryan, this is Mark. As we've stated on past calls we're comfortable operating the company at current leverage levels and don't feel any pressure to raise equity capital. That said, we've also noted on past calls our desire to decrease leverage at some point through an equity offering when we thought we could do so at an attractive cost to capital. You are right, the stock has performed very well this year up 22%, 23% year-to-date and we'll continue to evaluate and dialogue with our Board on our capital strategy.
Ryan Meliker: Okay. Mark if I recall correctly your target leverage is that 45% to 50%, total debt to total book assets but you are comfortable running up to 55% which you guys are obviously below that level now is that correct.
Mark Kleifges: Yes. We think more a relevant way to look at is total debt to gross value of real estate we’re about 40.8% at the end of the quarter. That leverage level really hasn’t moved much in the last several quarters. Year-to-date we’ve funded most of our capital outlays through free cash flow and we think we can fund the majority of our capital needs for the rest of the year through cash flow.
Ryan Meliker: And then if you are looking at leverage more on a debt to book value of asset, book value of real estate where is the comfort zone on that?
Mark Kleifges: Well we’ve historically operated between 35% and 40% so we’re slightly above that right now and at some point we'd want to get back within that target range.
Ryan Meliker: But that’s kind of how we should think about leverage more so than debt to book value of asset, okay, that's helpful. Great, and then the second question I had was can we talk a little bit about Sonesta, you guys just announced you are buying another asset converting it to Sonesta, Sonesta in the quarter had RevPAR that was negative. How is that portfolio tracking relative to your expectations? I know that there is obviously some renovations going on that can skew some of those quarterly results. So I just wanted to get kind of your input on - are you feeling confident with that brand, are you feeling confident with that portfolio, are you not seeing the challenges that we keep hearing from other smaller brands across the industry that still seem to be gaining share especially now with Hilton Marriott launching their member rates initiative and any thoughts on how you feel about Sonesta.
Mark Kleifges: Yes, Ryan this is Mark. I’ll just throw out a few number and then I’ll let John add some commentary on the latter part of your questions. I think it's important to look at the Sonesta portfolio and split it between the 22 comparable hotels would've been renovated and the 11 ES suites properties that are currently undergoing renovations. If you just look at the 22 comparable hotels that have been renovated we're very pleased with the performance. RevPAR was up 7.9% at those properties this quarter cash flow available to pay our returns was up almost 25% and coverage was 1.24 times. The overall performance of the portfolio when you look at the staffs that we publish you know in our Q, in the supplement and the press release are obviously being skewed by the 11 properties under development under renovation where we had declines in RevPAR and declines in cash flow this quarter. John I don’t know if you want to comment some on – some of the brand related questions?
John Murray: Yes, I mean there’s no question that Marriott Hilton and some of the other large brands are very powerful and the rewards programs are compelling for many of the – many guests many frequent travelers. But there are also a lot of business and major travelers who are looking for something a little bit different, looking maybe for a slightly higher level of service. And brands like Sonesta and similar sized brands I think have to be competitive to go perhaps out of their way to add an extra layer of hospitality and try to make guests feel a little bit more special. And it seems to be paying off in our Sonesta Hotels and you know it's not easy. But I think we are pretty happy with how the Sonesta is being doing in comparable hotels once the renovations are completed. So we think that there is a – there continues to be room in the lodging space for smaller brands that has a more personal connection with their guests.
Ryan Meliker: Great, that's helpful. And I appreciate all the insight on the numbers in the quarter so Mark that was really a good color you gave us understanding of how these things are performing. That’s it for me.
Operator: [Operator Instructions] Our next question comes from Bryan Maher of FBR & Company. Please go ahead.
Bryan Maher: Good morning John and Mark. John you made some interesting comments on the Hyatt I think you called like a predictive booking program or something along those lines which help to lead to their outperformance in the quarter. Can you elaborate on that a little bit?
A – John Murray: Well, I think that they’ve continued to enhance their revenue management programs and they’ve got internally developed revenue management systems that look at various factors in and in terms of where market occupancies and rates are and where over the past cycles and past years where demand has been coming from in terms of segments and just the general the total amount of demand that they should expect. And so when they’re a little bit better able to have conviction about raising rates, holding rates when they believe that they should be expecting better demands. And so that it's kind of simple actually but it's been particularly effective for them lately in this quarter.
Bryan Maher: And then you made some comments with respect to industry outlook for this year as it relates to prognosticators and I guess you’re talking about maybe PWC and SDR and then you talked about HPT's operators and their outlook of 4% to 5% RevPAR was that related to their brands or your hotels specifically?
John Murray: That was related to our hotels specifically.
Bryan Maher: Okay. And then lastly from me, when you look at acquisitions and having just on three TA’'s and one hotel, is your bias towards TA's over the next 6 to 12 months or do you not have a well thought out kind of where you want to go with acquisitions and you’re just being opportunistic?
John Murray: I’m not going to set myself up that we’re not well thought out part of that. We believe we have a well thought out strategy. We -- the transaction that we announced last June with Sonesta had some development tail on it and we've been executing on that the TA's - I’m sorry. And but otherwise our acquisition growth focus is on hotels and we've been looking at transactions not just with Sonesta but with IHG and others and we expect to continue to make hotel acquisitions. We had a hotel under contract earlier in the quarter but as a result of diligence ran into some CapEx issues that we're needed to be addressed by the seller and we had to let that property go. We're looking at this other hotel in Silicon Valley again it's in diligence it may or may not happen. But we are focused on adding hotels to our portfolio and we’ll continue to do so.
Bryan Maher : Thanks, John.
Operator: And this concludes our question and answer session. I would now like to turn the conference back over to John Murray for any closing remarks.
John Murray: Thank you very much for joining us today.